Operator: Good morning all, and thank you for joining us for the Kinetik's Second Quarter 2025 Results Call. My name is Carly, and I'll be coordinating the call today. [Operator Instructions] I'd like to hand over to our host, Alex Durkee. The floor is yours.
Alex Durkee: Thank you. Good morning, and welcome to Kinetik's Second Quarter 2025 Earnings Conference Call. Our speakers today are Jamie Welch, President and Chief Executive Officer; and Trevor Howard, Senior Vice President and Chief Financial Officer. Other members of our senior management team are also in attendance for this morning's call. The press release we issued yesterday, the slide presentation and access to the webcast for today's call are available at www.kinetik.com. Before we begin, I would like to remind all listeners that our remarks, including the question-and-answer section, will provide forward-looking statements, and actual results could differ from what is described in these statements. These statements are not guarantees of future performance and involve a number of risks and assumptions. We may also provide certain performance measures that do not conform to U.S. GAAP. We've provided schedules that reconcile these non-GAAP measures as part of our earnings press release. After our prepared remarks, we will open the call to Q&A. With that, I will turn the call over to Jamie.
Jamie W. Welch: Thank you, Alex. Good morning, everyone, and thanks for joining our call today. Kinetik' second quarter results reflect our resilience and relentless focus on execution as we navigated through macroeconomic uncertainty and global geopolitical pressures. I am proud of what our team accomplished despite the noise that has continued to persist. During the quarter, we made significant progress across our portfolio of capital growth projects. Starting with Kings Landing, commissioning of the complex commenced in June and has continued. Through the next 6 weeks, we will be fully testing and starting up the front-end amine plant, and we expect to have the necessary electric power to also fully load the facility. Taken together, we expect to ramp to full commercial in-service by late September. In speaking with our producer customers in New Mexico, we continue to build conviction on just how highly economic the rock formation is in Northern Eddy and Lea Counties. However, much of the associated gas carries substantially higher CO2 and H2S content. To support further development of the resource play, we have filed a permit for an acid gas injection well at Kings Landing to sequester the growing levels of CO2 and H2S. Lead times for specialty equipment and materials can be upwards of a year, so our team has been prudent in identifying these items to jump start this process. We expect to receive approval to proceed by year-end. Upon in-service of the AGI well at Kings Landing, Kinetik's total acid gas or TAG capacity is expected to more than triple and further position us to be a best-in-class gas gatherer, treater and processor with a differentiated service offering in Northern Eddy and Lea Counties. We look forward to sharing more as we progress this opportunity. To support the conversion of Delaware North to a primarily sour gas system, ECCC pipeline is a critical component to move sweet- rich gas from New Mexico to Texas and free up additional processing capacity in New Mexico. Construction has started, and we expect in service in the first half of 2026. The proposed scope includes restarting our Sierra Grande processing facility and adding boost compression there. We have the ability to increase ECCC's throughput capacity to approximately 300 million cubic feet per day for sweet gas, with system looping in Texas. Looking ahead, the investments we have made and continue to make across our system provide a multiyear earnings tailwind through the end of this decade. First, Kings Landing is our beachhead position in the Northern Delaware. Our conviction continues to grow regarding expanding our footprint and volumes around this complex. Our commercial team has been very active advancing some really exciting opportunities. And with much of the pre-FID work for a processing expansion at Kings Landing behind us and permitting for acid gas injection in progress, commercialization of an expansion and sour gas conversion remains on track. Our low and high-pressure build-out in Eddy County continues to perform better than expected with well results exceeding expectations. Customers and other active producers continue to add inventory in the area, increasing the project earnings potential and duration. Acquired earlier this year, the Barilla Draw gas and crude gathering systems are performing well and are expected to contribute to earnings growth throughout the decade. Additionally, well connects in Lea County in the second half of this year will contribute additional volume increases. So based on the current estimates and with continued commercial success, we expect that additional processing capacity besides Kings Landing 2 is likely to be needed inside the next 18 months as our Delaware South processing capacity is fully utilized with ECCC pipeline. We also remain focused on optimizing our cost structure. In the past few years, we have experienced and managed meaningful cost inflation, especially with electricity and leased compression. And while we think the worst of it is behind us, it underpins our conviction to pursue the behind-the-meter power generation opportunity in Reeves County and the owned compression solution over the next several years. Both projects would compete for capital and provide long-term structural solutions to offset these inflationary pressures. So before I turn the call over to Trevor to discuss second quarter results, I want to reiterate the opportunity set in front of us today. Our organic and inorganic growth pursuits over the past 1.5 years have positioned the company for accelerating growth as we head into 2026. We continue to expect fourth quarter 2025 annualized adjusted EBITDA of approximately $1.2 billion, which represents 24% growth year-over-year. And this is just the beginning of a very bright multiyear earnings growth and free cash flow generation outlook that presents a compelling investment opportunity for existing and future shareholders. So with that, I'll now turn the call over to Trevor.
Trevor Howard: Thanks, Jamie. In the second quarter, we reported adjusted EBITDA of $243 million. We generated distributable cash flow of $153 million and free cash flow was $8 million. Looking at our segment results, our Midstream Logistics segment generated an adjusted EBITDA of $151 million in the quarter, up 3% year-over-year on increased processed gas volumes from our Northern Delaware assets. This year-over-year increase was mostly offset by lower commodity pricing and higher OpEx, both of which I will cover in more detail shortly. Shifting to our Pipeline Transportation segment. We generated adjusted EBITDA of $97 million, up 3% year-over-year, which benefited from an increased ownership in EPIC and modest outperformance at PHP. The year-over-year increase was partially offset by no contributions from Gulf Coast Express following the sale of that stake in the second quarter of 2024. Total capital expenditures for the quarter were $126 million. With the updated in-service timing for Kings Landing and the other impacts I just mentioned, we are revising our 2025 adjusted EBITDA guidance range to $1.03 billion to $1.09 billion. Now I will walk through each of the impacts in more detail and the implications to guidance. First, we revised our full year processed gas volume growth assumption from 20% in February to mid-teens to reflect the shift in timing of the Kings Landing start-up and modest delays in producer development activity. For the remainder of the year, we expect a meaningful ramp in processed gas volumes driven by the full commercial in-service of Kings Landing in late September and step-up in contributions from the Barilla Draw, Carlsbad and Lea County volumes by year-end. We anticipate exiting 2025 with processed gas volumes at approximately 2 billion cubic feet per day. Second, we have seen significant commodity price volatility since setting our initial guidance in February, creating a headwind in the second quarter and a change in our assumptions on market forward pricing. On a weighted average basis, our revised guidance assumes a 10% decline in commodity prices versus our original guidance in February. Marking to market realized pricing and forward pricing, we estimate this decline to represent an approximately $20 million impact versus our original adjusted EBITDA guidance. At current commodity prices, approximately 35% of our direct exposure is tied to the price of WTI, 20% to the price of natural gas, 25% to the price of LPGs and the remaining 20% to basis and commodity price spreads. We have significant hedges in place for the remainder of 2025 and a robust hedging program for 2026 and 2027. Moving on, operating costs continue to persist in the Permian. We have seen substantial cost inflation across lease compression and electricity, 2 of our largest operating expense line items. Year-over-year unit cost per Mcf increased by approximately $0.10 in the quarter. With the commissioning and the start-up of Kings Landing, unit cost per Mcf are expected to modestly step down as volumes come online. On a full year basis, we anticipate unit cost to be up approximately $0.06 year-over-year in 2025. While much of this increase was expected and included in our original guidance, we have experienced higher-than-budgeted operating costs as well as the need to retain lease compression units for new areas of development that we originally planned to release. Taken together, these impacts led us to revise 2025 adjusted EBITDA guidance approximately 5% lower to $1.06 billion at the midpoint. Importantly, as Jamie discussed earlier, we continue to expect a meaningful acceleration in adjusted EBITDA growth through the remainder of the year and to reach annualized adjusted EBITDA of approximately $1.2 billion in the fourth quarter. Turning to capital guidance. We are tightening our range to be within $460 million to $530 million, given our heightened visibility at this point in the year. We anticipate CapEx to be concentrated in the third quarter with the timing of Kings Landing completion and construction of ECCC pipeline. That said, we now expect nearly 60% of 2025 capital to be spent in the second half and nearly 45% in the third quarter alone. Before I open up the line for Q&A, I will touch briefly on our finance-related objectives. At the end of May, we completed a total refinancing of our bank debt, extending maturities on the Term Loan A and revolving credit facility. Our leverage ratio per our credit agreement stands at 3.6x at the end of the second quarter. We also repurchased $173 million of Kinetik Class A common stock since May, representing nearly 2.5% of our outstanding shares at an average share price of approximately $43. Our share repurchase program reflects our commitment to delivering value to shareholders, and I'm enthusiastic about utilizing it in light of the disconnect we see between the market price and intrinsic value of Kinetik stock. Our finance-related objectives provide the framework to maximize shareholder value via our multiyear earnings growth and strong balance sheet, bolstered by strategic and accretive investment opportunities, annual dividend increases and opportunistic share repurchases. I am excited with the progress that we have made in the quarter and look forward to delivering even more value to shareholders in 2025 and beyond. And with that, we can open up the line for Q&A.
Operator: [Operator Instructions] Our first question comes from Jeremy Tonet from JPMorgan.
Jeremy Bryan Tonet: Just wanted to start off, if we could here. If we look at the exit rate for 2025 for 4Q there, just wondering if you could walk through the building blocks that get you there and the confidence level of exiting the year in that $1.2 billion run rate.
Jamie W. Welch: Sure. And look, a very valid and very good question. Look, the -- when you break down $1.2 billion, think about it as $300 million for the quarter. So we had $243 million for the second quarter. And as Trevor went through, we have already endured a lot of the operating cost impacts as it relates to high electricity pricing, higher compression leasing. So really, the building blocks from here to get from a $243 million. You're going to have a little bit of APA non-curtailment and maybe in the fourth quarter. That's what you should anticipate. Obviously, we had it in the second quarter, as everyone knows. I think the biggest one is going to be KL and Durango, obviously. And then you're going to have some incremental volumes. We've had some volume shift from third quarter turn in line to fourth quarter, which has, I think, tempered a little bit of the overall growth rate on the volumetric side. So, our exit rate remains pretty strong. However, because it's now in the fourth quarter and not the third quarter, you don't get that flow-through as far as duration of that volume for this calendar year. So, I think that are the 4 buckets. Everything else sort of stands pretty much as it is. And I think our degree of confidence Look, Kings Landing, I think we have really taken a measured approach as it relates to making sure that the plant is running and that we have got the plumbing. It's as much about the plumbing and separating out the sour gas from the sweet gas, which to this point, had all just been going, whether it's to Dagger Draw or to Miyajima. And now we have to separate, free up space on the sour gas side, which is the Miyajima and Dagger Draw facilities. And for the less sour gas send it to Kings Landing, even though we have front-end amine, we still don't have an AGI. So, we can't handle really, really sour gas at that facility. So we have been very methodical. I would say it's probably taken us longer. We were probably a little overoptimistic on how quickly we could get it done as far as the replumbing of the gas. But I think our confidence level now, Jeremy, is really high. It's really high. We know where the gas is. We've spent so much time. So maybe it's a little frustrating to get out of the blocks a little slower than many of us would have liked, including ourselves. But I think the follow-through and as we hit our stride, as we come out through the back end of this year, I think we will be the better for it.
Jeremy Bryan Tonet: Got it. Just wanted to pivot to buybacks, a good amount in the second quarter. Is this a rate that we can expect to continue here? Just wondering if you could provide more color on what that cadence could look like?
Jamie W. Welch: I think it's a function of -- and Trevor can jump into this. It's really a function of where our stock price is. We see the stock in the low 40s as being incredibly compelling. And so, he is driven with more of a lead foot this past quarter, starting obviously in May. And I think, look, we will take cues from the market. We understand, we look at our capital allocation framework. We work out and we see where fundamental value is and where we really like the stock. And so, we will basically be attuned to how that -- to what we see on the screen.
Operator: Our next question comes from Spiro Dounis from Citi.
Spiro Michael Dounis: I want to start with NGL re-contracting, if we could. I think it's more of a 2026 tailwind, but curious if some of the NGL pipeline operators are eager to negotiate early and make sure some of those volumes stay on the system. In other words, could we see that recontracting tailwind maybe coming earlier than expected?
Jamie W. Welch: Spiro, look, it's a really good question. Obviously, we all know that I think Enterprise said that they expect by here to start up in the fourth quarter. So that occurs. And obviously, between Enterprise, Targa and Transfer, obviously, ONEOK and DCP as well as MPLX now. We have a much bigger grouping of NGL integrated players than probably ever before. And with, I would say, tempered enthusiasm and expectation on growth in the basin. With a lot of capacity to fill, we continue to see some pretty interesting overall indications and rates coming from different NGL service providers. You're right, in our context, we have 2 contracts that roll off next year. One is already -- you've got Targa steps into the shoes on one of them and the other is basically free to decide. And then in '27, we'll start off with Kings Landing once we reach the 2-year in-service mark. And then we follow from there. We've got literally almost serial expirations going on through almost the end of the decade and other contractual adjustments. So, I really do think we're going to be able to capitalize on it. We've always said that. and we'll sort of see where that takes us. But I think it's a good time to be on our side where you've got product. And there's a lot of capacity in the marketplace and obviously, a lot of people eager to fill that capacity.
Spiro Michael Dounis: Got it. That's helpful, Jamie. Second question, switching gears to Kings Landing 2, and I apologize if I missed it in some of the prepared remarks, but can you describe maybe what inning you're in there as you think about progressing towards FID and how we should think about some of the gating items? And sort of in that context, I think you talked about 18 months is when you need it. Any sense on whether or not you could use offloads to sort of bridge that and push that CapEx out a little further?
Jamie W. Welch: So I think we're sort of mixing a little bit of metaphors. On the 18 months that was mentioned, it was actually in relation to processing capacity in Texas over and above what we have and over and above anything we decide to do on Kings Landing 2. On Kings Landing 2, the core building blocks of that particular project, one is clearly commercial. The other 2 is, one, acid gas injection because it does need to be a sour plant. And that is a longer lead time item as it relates to both permitting as well as sourcing equipment. The other, obviously, is electricity, which is quite -- which can be a challenge, and it seems almost more of a challenge than in New Mexico than it does in Texas. And so, when you ask us about what inning we're in, Look, I would say if you're thinking that the inning concludes with an FID announcement, right, the gain -- if that's the end of the ninth inning. I would say we are midway into our overall work stream as far as we've already filed permit application for the acid gas injection. We're well advanced on the electricity. The commercial guys have been working this for a long time. We've got some pretty big customers sitting behind the Durango system that I think with the advent of Kings Landing 1, and seeing for their own eyes that, that capacity is there, will give them the conviction, which thus far, they've sort of been hesitant about to actually go spend money on the drill bit and accelerate a development program. So, we have got everything moving together on various work streams, and I think it will all come together, our hope and expectation, certainly within the next -- I would -- certainly before year-end.
Kris Kindrick: And Spiro, this is Kris. I wanted to jump in quickly on the comment on offloads. We're always going to look at optimizing our portfolio with capital and offloads. And that's why ECCC is so important. It allows us to get south where we have a number of more economic offload options. So, we'll continue to look at all those as options to optimize the portfolio.
Operator: [Operator Instructions] Our next question comes from Michael Blum from Wells Fargo.
Michael Jacob Blum: I wanted to start with a macro question on the fundamentals. So, I guess we're seeing some Permian midstream players maintain guidance and tell us that basically producer activity is unchanged. And then we have others that are tweaking guidance lower like yourself and pointing to a weaker fundamental macro. So, I just want to get your take on what's going on from a macro perspective and then, of course, what's going on in your neck of the wood specifically?
Jamie W. Welch: Sure. Michael, I think we're seeing a few things. Obviously, as a Permian pure play, I think there's nowhere for us to literally run and hide, right? We don't have any other basins. So, we can't mask any declines in the Permian against increases in the Haynesville or other basins that may be more gas focused. What we're seeing is, let's -- I mean, we can knock down our big customers. PR, EOG, Katera, I mean, we can pretty much go through them all since we have almost 90 customers. But PR hasn't changed rig cadence. In fact, their overall performance on their wells has exceeded their own type curves and expectations. So, they may move a well pad from the third quarter or the fourth quarter to the following quarter or the beginning of 2026. That doesn't change their guidance. It doesn't change their fundamental view of the quality of the rock. If anything, what it does is show you that actually it's even better than they anticipated. But they're not -- much like I think all of us right now, they look at their own probably stock price and say, look, should I keep capital in my pocket because I can save some dollars and I'm still going to hit my guide on overall BOEs. So, I do think in Texas, we have always maintained the Texas position is more today. We see some spots of activity. Barilla Draw is one area. But the Barilla Draw activity, honestly, Michael, Trevor and I would tell you, offsets some of the legacy Centennial activity that we saw the year before from Permian Resources. So, we do see some give and take. Texas remains, I think, more of a -- it's not the prime and the sort of ultra Tier 1 acreage that we still see New Mexico. I think New Mexico holds for various reasons, a lot more attraction and appeal from just a -- maybe it's a cost standpoint, maybe it's an administration standpoint that they think now is the time, basically get in while they're going is good. And Texas, you can pivot back to. You can always pivot back to Texas because it's very dynamic. It almost can be that -- it can very much be that production that just comes on very quickly. So, I wouldn't read too much into it that we're seeing a huge slowdown as it relates to the overall level of activity. I think what we are seeing is we've seen some shift in timing, but it's timing. We are seeing quality of results and quality of -- from a type curve standpoint at or above our expectations. We said to you that Carlsbad, which is another PR position, has been exceptional. Barilla Draw has been very solid. So, we're really excited by what we have. And I think our viewpoint is, look, we will catch up and we'll end up with some tailwinds in the face of what has been thus far, certainly for this year, more headwinds on whether it's commodity pricing or whether it's in the context of just OpEx costs. Trevor, I don't know if you've got anything you'd add to that?
Trevor Howard: Yes. The one thing that I'd add, thanks for the question, Michael, is from where we sit from the beginning of the year, prior to the $10, $15 sell-off in WTI is we're not seeing much of a change to the second half of 2026. What I would say is that, Jamie had mentioned there's been some shifting of timing and some pads, both north and south. A lot of them what we're finding is actually not necessarily for noneconomic reasons in terms of the primary driver, sure, WTI goes into it. But what we're actually seeing is that what we need to do as a company is to get in front of our customers with infrastructure to facilitate the upcoming development plans that we're seeing up in Delaware North. And that's why getting ECCC completed is critical, as Kris had mentioned earlier, we pointed to a potential expansion of that pipeline, FIDing sometime in 2026. We've talked about Kings Landing 2. And really, I'd say that's what we're extremely focused on in terms of getting that across the finish line with an FID because there is no real change to, I'd say, as we think about a broader portfolio of Delaware North plus Delaware South, what we're really seeing from where we were at the beginning of the year. If anything, we've actually seen a bit of an acceleration in certain areas that's offsetting some of the, I'd say, timing shifts or delays that we're seeing elsewhere.
Michael Jacob Blum: Okay. Got it. That's a very helpful perspective. I appreciate it. The other question I wanted to ask -- in the prepared remarks, if I heard it correctly and understood it correctly, it seems like you're seeing the gas is actually getting even, I guess, more sour, for lack of a better word, than even what you were anticipating. So just trying to understand, is that a potential upside case for you guys, whether that means you can either raise -- I don't know if that means you can increase the treating fee or just you're going to see higher volumes on those fee -- the existing fee. But I just want to just understand if there's anything there on the upside case.
Jamie W. Welch: So Michael, you're right. It is even more sour. I think the first and the second Bone in particular, are very sour. And therefore, the only way to actually manage that gas is with acid gas injection. So, by the addition of acid gas injection at Kings Landing, we will, I think, triple the size of our tag capacity, treated acid gas, and we will be amongst the biggest in New Mexico in the context of tag capacity. It will allow us, depending upon -- from a tiering standpoint, it will allow us to obviously get an economically attractive return, but we are putting significant incremental investment and capital into infrastructure to allow us to be able to treat that gas and process that gas. So, I think you will see, yes, it is more sour. Yes, you will have there's probably more upside in the context of rates and fees depending upon just how sour.
Operator: Our next question comes from Brandon Bingham from Scotiabank.
Brandon B. Bingham: I wanted to go back to the building conviction in Northern New Mexico that you guys have discussed. And just if you could provide any incremental detail around some of the commercial momentum or just anything you're seeing up there that's really helping you build that conviction in the area and how that might kind of translate into any potential KL2 FID timing?
Jamie W. Welch: Yes, sure. Brandon, it's Jamie. And I'll let Kris and Trevor jump in. Look, we have a number of customers up there, as you know, that we inherited with Durango, the larger ones of which are Spur and Newborn, they are both very eager to put incremental capital to work on the drill bit and need, as Trevor pointed out, infrastructure. Kings Landing 1 is you just knock it down and just move on through. They need -- they want us to do the AGI because they very much see the most -- some of the most attractive rock being that, as I mentioned, as I just referred to Michael Blum's question, First Bone, Second Bone, really sour gas. but it's really attractive, and they really want to get after it. So right now, I feel like we are sprinting to keep up with our customers and their desires. We can't -- I think Kris Kindrick would tell us, we probably can't sprint fast enough to make these guys thrilled and happy yet because they want to spend the dollars tomorrow. And unfortunately, it takes us longer than tomorrow to actually have the infrastructure up and online.
Kris Kindrick: Yes, Brandon, this is Kris, kind of echoing on what Jamie said, there's a lot of activity in front of us, probably more so than we've seen in the last 2 years. And Jamie hit on New Mexico. But even in Texas, we're seeing opportunities. And now with ECCC online next year. We look at this as one combined system where we're introducing volumes across the system. So, it's a huge growth opportunity across the majors, the independents, the private producers. 2026 is going to be an exciting year and not just for new packages of gas, but there's some big developments on our existing acreage in '26 that we'll need to accommodate. So, it's an exciting time, and the team is doing a good job tackling these commercial prospects.
Brandon B. Bingham: Okay. Great. And then maybe I wanted to kind of touch on Epic a little bit. If there's any updates there, maybe around timing of distributions or just how you're thinking about it in general as one of your partners in it has discussed that it's comfortably up for sale if they need to or it's something that they're willing to sell. So just kind of any updates on Epic and anything you can share there?
Jamie W. Welch: Sure. So as far as on the distributions, I believe the first distribution is going to partners this month. So, I believe that, that's been authorized and approved, which is great. And the business is actually performing very, very well. As far as the designs of the various partners and certainly one of -- probably the largest customer in that pipeline and what they may want to do. Look, I think from our vantage point, it's like any asset. It has an intrinsic and extrinsic value to us as a company. if, in fact, the value proposition of somebody else is at or above that value expectation from our end, then I think we would be remiss in not capitalizing on it, right? We're looking to create value for our stakeholders. So, if someone shows up with the right number, then I think we're not so wedded emotionally or otherwise to this asset to say that, oh, it's a must-have. It's a non-operated stake. So, it's not as core as other elements certainly of our business. Trevor, do you have anything to add to that?
Trevor Howard: Nothing to add to that. I think you hit it.
Operator: [Operator Instructions] Our next question comes from Theresa Chen from Barclays.
Theresa Chen: On the topic of TAG capacity and the TAG market in general, with one of your midstream competitors announcing entry into sour gas treating recently via an acquisition in what seems like a similar area of service as your footprint. How do you think about competition within this space evolving over time?
Jamie W. Welch: Theresa, it's Jamie. Thanks for the question. Look, it's a good question. Obviously, MPLX buying Northland. Yes, obviously is -- brings them now into the equation. Thus far, it has been more of the domain with enterprise buying Pinion, ourselves and obviously, Targa with Red Hills, right? So as part of the Lucid complex. So look, there's certainly more than enough volume and development for many, many players. And I think it's not a case of where -- if anything, we're going to see sour gas on the CO2 H2S side, I think, continue to dramatically increase. versus dramatically decrease. And therefore, the overall size of the market is getting bigger. And therefore, I think there's room for everybody. It still takes a long time to get into this business. Obviously, I think that was, if I'm not mistaken, was one of the major principles for the enterprise acquisition of Pinion, which was when they looked at it, they said it was going to take them 3 years otherwise. And from our vantage point, we said this all along. We said we like to see where the puck is going, and we could see that sour gas was obviously really going to be on the front end. And so, the acquisition of Durango gave us that entry point, and we've obviously looked to capitalize on it. So, I think there's plenty of room for everybody. Do I expect it to continue to increase? Look, I think others will start to see for those that have the existing infrastructure and are able to capitalize on it, it will be a very attractive business. And for others, they may look for entry points.
Theresa Chen: Understood. And within your own organization, given the commodity price volatility and the impact that it's had year-to-date, how has your hedging strategy evolved, if at all? How do you view the impact of either absolute prices or spreads as we go through the next few months of 2025 and into 2026? And would you expect the net impact to be maybe more muted next year versus this year? How should we think about this?
Trevor Howard: Yes. Thank you for the question, Theresa. What I would say is that the year-over-year impact from '24 to '25 on pricing is approximately $20 million. So, when we entered the year, we thought it was going to be flat on a year-over-year basis. And as we have disclosed relative to our original guidance, it's about a $20 million headwind. What I would say is that, I'd say, we're more active and we're reaching further out relative to, I'd say, historical norms to try to, I'd say, levelize these year-over-year impacts on margins on the commodity side. So, as we look forward into 2026, I would expect it to be relatively flat in terms of an impact on a year-over- year basis.
Operator: Our next question comes from Keith Stanley from Wolfe Research.
Keith T. Stanley: Wondering if you could give any early thoughts on where you see CapEx kind of evolving over the next couple of years. There's a lot of growth you're talking about with KL2, maybe another plant in Texas, AGI capacity, power plant. Just how do you see CapEx kind of evolving next year and into 2027?
Jamie W. Welch: Brilliant question, Keith. It is the topic that I think that Trevor and I spend the most amount of time just thinking about, because there's a realization -- and there's a reality to us and the size of our company that we can't do everything we want, right? We've said this on more than one occasion. We're a company that wish we were a $5 billion EBITDA company and not just over $1 billion EBITDA company. So, I think we are recognizing and really trying to rationalize where do we need to spend capital, what's that timing of capital. To us, what are the core elements? I think if you ask us, I think Trevor would and I would tell you that, obviously, you get some really good bang for your buck on expansion of ECCC, you can do that pretty cost effectively. Kings Landing is pretty -- Kings Landing 2 is very important, particularly if you're doing it in conjunction with the acid gas injection. And that is higher-margin gas. And then you've got to think about, okay, well, what are you going to do in Texas? Are you going to have offloads for some time? It's sort of a conversation we have with the commercial team. Do we think about bridging that then and sort of managing our overall capital bucket. But I think, Trevor, we've said what consistently, 25%, 30% of EBITDA in the context of around 30% of EBITDA in the context of our overall capital allocation for reinvestment -- I mean, realizing that it's not perfect with the percentage, but just to give a sense.
Trevor Howard: Yes, that's right. And a little bit more elevated in years in which we're building plants. But what I would say is, as Jamie pointed out in the beginning, in terms of just our financial profile, with the opportunity set that we have being top to bottom east to west in the Delaware Basin is we've got a lot of opportunities that we look at, and it allows us to be a little bit more patient and diligent in picking the right lanes for us to allocate capital towards.
Operator: Our next question comes from Jackie Koletas from Goldman Sachs.
Jacqueline Koletas: Just a little bit on that point on capital allocation. With higher operating cost inflation, how are you thinking about the cost reduction plan effort, the compression deployment and behind-the-meter power and the timing of potentially implementing those projects, especially balancing out potential spending on those growth opportunities that you mentioned?
Jamie W. Welch: So Jackie, I think we look at it as follows. As it relates to compression, compression, you can leg in. You can do a little bit. It's more about you're going to put an order in today, and it might be 50, 60 weeks from now before you're going to see those compression units arrive. So, it's more timing. If you need something just in time, meaning inside 6 months because you get -- you're about to do a low- pressure connection, then unless you have some existing compression that you're able to go and move, you're really in the domain of having to go and undertake a lease for some term with one of the compression service providers. I think what Matt Wall, Trevor and I have decided and what we have already started to do is we put down some deposits for incremental compression that's going to come to us over '26 into '27. And that will continue. We think it's very cost effective, highly cost effective versus other options. We get better run times or better uptimes with it. I think we've just seen improved reliability, and we've now got to a size as far as our compression skill within the company that, look, we can keep these units up. And I think we've got the mechanics, capability, spares that literally means we can do this. So compression is a little different. It's different than a power plant because power plant, you can't really leg into it. You just got to decide what's the size of the power plant you're going to go do. And I think what we're doing is we're also -- one of the things that certainly has come out of our keen interest to try to, I would say, minimize and just control our overall power cost is we have been approached by external parties. Some of -- obviously, there's a large amount of generation that's to be built in Texas. So, we're going to look at various options. For now, we have a fixed price fixed block. We went and source that out of a retail electric provider. So, we've bought ourselves enough time to be able to manage and make sure that further cost inflation doesn't erode our bottom line. So, I think what we're trying to do is just manage it. right? Management as best we can, much like we have historically. I think the first -- you'll start to see some benefits, but not until probably, I think, '27 on the compression side. But again, it's going to be small steps.
Jacqueline Koletas: Got it. I appreciate the color there. And then just as a follow-up, wondering if you could provide us an update just on your appetite for bolt-on M&A, how you're seeing valuations trending today? And if there are any other opportunities similar to Barilla Draw.
Jamie W. Welch: We will look at everything. I think our viewpoint is that overall multiples have gone up. I think recent deals prove that. I think we look at that in conjunction with where our stock price is, and we say, well, it's not really the right time to think about doing something aggressive on the M&A standpoint. And if we've got capital to deploy, we'd much prefer to go deploy it in building a new Kings Landing 2 plant or an acid gas injection well that would be a low single-digit multiple. And we've got literally all the conviction to go and get it to basically get it commercialized and done. So, I would say we are more focused on organic at this point. That is, of course, not to say that we will exclude looking at inorganic, but it would have to be incredibly compelling.
Operator: Our next question comes from Saumya Jain from UBS.
Saumya Jain: So, you've had a greater CapEx allocated towards Delaware North, especially Kings Landing versus Delaware South. But now with Birla draw contributions and ECCC pipeline under construction, do you see potential in further rolling out Delaware South more? I guess, could you expand on the different opportunities you're seeing in the North versus South longer term and how you're considering the CapEx split in the future?
Jamie W. Welch: Look, I think it's a very good question. I think the fact that we have investing and invested thus far more in Delaware North is, I think, just a reflection of how much activity is up there and the fact that it is so underpenetrated from an infrastructure standpoint versus other areas. ECCC really does unlock. It's a really new dimension to a business because now you can move sweet, rich gas from New Mexico down into Texas. So, as we -- as you all probably will remember and know, we have more of a sweet system. Yes, we have front-end amine treating, but our overall ability to handle really, really sour gas is more limited in South Texas. I think as we continue to see New Mexico be the hive of activity for our producer customers, that's where you'll see the preponderance of our overall capital deployment. When at some point, that will pivot and it will come back, ECCC is an example where we're actually capitalizing on New Mexico, but it's going into Texas, and we may need another processing facility getting built. So that would obviously create incremental capital spend in Texas. So I really do think we're just going to balance it based on what we see and what occurs as it relates to our producers and where that opportunity set presents itself.
Saumya Jain: Got it. And then you noted how producer development plans were delayed into 2026. I guess, could you provide more color on how we should expect to see producer activity in the back half of the year and the key drivers there? And what -- and I guess, help us understand some of the sensitivity within your growth outlook to basin level growth specifically.
Jamie W. Welch: Trevor, do you want to jump in on that?
Trevor Howard: Yes. I'll point back to some comments that Jamie made at the beginning of the year as we think about from where we are in the second quarter to the exit rate of $1.2 billion. Obviously, with Kings Landing coming online, that's a significant contributor of both volume and earnings growth. And then we're seeing, I'd say, part of the shift that we have seen is really just as producers looked at their TIL schedules and with some uncertainty in the timing of Kings Landing, that really had shifted things a quarter or 2. And so we start to see significant, I'd say, well developments up in our Delaware North area, both in Carlsbad and then up in -- where the Kings Landing area is and up on the shelf. And then Jamie pointed to at the beginning of the call, we start to see some real nice big packages of development in Delaware South and specifically in the Barilla Draw area as we exit '25 and into 2026. With respect to basin level growth, we've been -- we have a page in our monthly investor presentation where we index it back to 2021, and we've consistently outperformed broader basin level growth, and we continue to see that to -- or excuse me, we expect to see that continue, especially as Kings Landing comes online. That's a bit, I'd say, unique relative to Kinetik, and it's almost 10% of total processing capacity growth for us in a single quarter. And so, I'd say that, while it has been a little bit flatter relative to overall basin growth, still, I'd say, either in line or modest outperformance, we expect that outperformance that we have seen in '21 through '24 to really pick back up again.
Kris Kindrick: And Saumya, this is Kris. Just hitting back on something Trevor hit on. Each customer is different on why they're delaying. Some of them are optimizing rig schedules. Some are testing reservoir properties. But the rock is still great rock, and we're excited about what's on the table in 2026. There's some large packages, and there's going to be some good development there. So again, each customer is different, and there's different reasons for the delays.
Operator: We currently have no further questions. So, I'd like to hand back to Jamie Welch for any further remarks.
Jamie W. Welch: Thank you, everyone, for your time this morning. We know it's a very busy time in the quarter, and we look forward to catching up with you soon. Thanks very much.
Operator: As we conclude today's call, we'd like to thank everyone for joining. You may now disconnect your lines.